Operator: Good day, and welcome to the Renasant Corporation 2016 Fourth Quarter Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Mr. John Oxford with Renasant. Please go ahead.
John Oxford: Thank you, Austin. Good morning and thank you for joining us for Renasant Corporation's 2016 fourth quarter and year-end earnings webcast conference call. Participating in this call today are members of Renasant's executive management team. Before we begin, let me remind you that some of our comments during this call may be forward-looking statements, which involve risk and uncertainty. A number of factors could cause actual results to differ materially from the anticipated results or other expectations expressed in the forward-looking statements. These factors include, but are not limited to, interest rate fluctuation, regulatory changes, portfolio performance and other factors discussed in our recent filings with the Securities and Exchange Commission. We undertake no obligation to update or revise forward-looking statements to reflect changed assumptions, the occurrence of unanticipated events or changes to future operating results over time. Now, I will turn the call over to E. Robinson McGraw, Chairman and CEO of Renasant Corporation. Robin?
Robinson McGraw: Thank you, John. Good morning everybody and thank you again for joining us today. We have a lot of exciting things to talk about, so let’s get started with our financial results for the fourth quarter of 2016 which represent a strong finish to another great year. Results include our completion of the KeyWorth acquisition in approximately 16.2% annualized linked quarter legacy loan growth. Our diluted EPS of $0.55 per share represent some of our highest reported quarterly earnings, which were driven by the strong performance of our Renasant team members. Looking at our performance during the fourth quarter of 2016 net income was up approximately 11.7% to $23.6 million as compared to $21.2 million for the fourth quarter of 2015. Basic and diluted EPS were $0.56 and $0.55 respectably as compared to $0.53 and $0.52 respectively for the fourth quarter of 2015. During the current quarter we recognized a one-time charge of a little over $2 million or $0.04 of after-tax impact on diluted EPS to effectively terminate four FDIC loss-share agreements, excluding the after-tax impact of the FDIC termination diluted EPS was $0.59, no such charge was incurred during the fourth quarter of 2015. Our 2016 fourth quarter return on average tangible assets and return on average tangible equity were 1.22% and 14.90% respectively. Focusing on our balance sheet, total assets at year-end were approximately $8.70 billion as compared to approximately $7.92 billion at December 31, 2015. Our balance sheet and results of operations as for year ending December 31, 2016 include the impact of acquisition of KeyWorth Bank, a Georgia State Bank headquartered in Atlanta Georgia which was completed on April 1st. Total loans which includes loans purchased in the company's previous six acquisitions collectively referred to as purchased loans increased 14.52% to approximately $6.2 billion at December 31, 2016 as compared to $5.41 billion at December 31, 2015, excluding purchase loans, loans grew 22.97% to $4.71 billion at December 31, 2016 as compared to $3.83 billion at December 31, 2015. Total deposits were $7.06 billion at December 31 of 2016 as compared to $6.22 billion at December 31 of 2015. Our non-interest-bearing deposits averaged approximately $1.47 billion or 22% of average deposits for the year ended 2016 as compared to $1.13 billion or 20.29% of average deposits for the same period in 2015. Our cost to funds for the year-ended December 31, 2016 was 39 basis points as compared to 37 basis points for the same period at 2015. Looking at our capital ratios at year-end our tangible common equity ratio was 9%, our Tier 1 leverage capital ratio was 10.59%, our common equity Tier 1 risk-based capital ratio was 11.48%, and our Tier 1 risk-based capital ratio was 12.86%. Our total risk-based capital ratio ended the year at 15.03%. Our regulatory capital ratios are all in excess of regulatory minimums required to be classified as well-capitalized. Net interest income was $78 million for the fourth quarter of 2016 as compared to $72.4 million for the fourth quarter of 2015. Net interest margin was 4.24% for the fourth quarter of 2016 as compared to 4.33% for the fourth quarter of 2015. Additional interest income recognized in connection with the acceleration of paydowns and payoffs from purchase loans increase net interest margin 25 basis points in the fourth quarter of 2016 as compared to 22 basis points in the same period in 2015. Our non-interest income is derived from diverse lines of business, which primarily consist of mortgage, wealth management and insurance revenue sources along with income from deposit and loan products. For the fourth quarter of 2016 non-interest income was $30.1 million as compared to $31.4 million for the fourth quarter of 2015. Non-interest expense was $71.4 million for the fourth quarter of 2016 as compared $70.7 million for the fourth quarter of 2015. After considering these expenses which are non-occurring, our overall growth in non-interest expense for the fourth quarter as compared to the same period in the prior year is primarily attributable to the additional of KeyWorth operations and strategic growth to the company’s infrastructure. Looking at our credit quality metrics and trends at December 31st of 2016 overall our credit quality metrics continue to remain at historic lows. Furthermore, we continue to experience improving trends in all our credit quality metrics, whether looking at MPL or MPAs 30 to 89 days past due and our internal watchlist. During the quarter our charge-offs were elevated due to charge-off resulting from the resolution of a prolonged problem credit, the resolution accounted for approximately 42% of our charge-offs for the quarter and was fully reserved in our allowance. Although we experienced this uptick, our annualized charge-offs for 2016 were 12 basis points, well below historical averages. For the sake of time I’ll refer you to our press release for specific numbers or ratios. To conclude the discussion on our earnings, we’ve made significant achievements in 2016 in our financial results are a testament to our well executed plan. Our diluted EPS of $2.17 per share represents some of the highest reported yearly earnings for the company and we’re driven by the strong performance of our legacy company coupled with the successful conversion of KeyWorth’s operations. Furthermore, the continued sustainability of this profitability is reflected in our return on average assets excluding margin conversion expenses, debt repayment penalties and loss-share termination charges on an after tax basis of 1.16% for the quarter, marking the 11th consecutive quarter we've achieved greater than 1% return on average assets. As we look 2017 we believe that we are well-positioned to continue to improve on profitability and earnings growth which in turn would generate shareholder value. Now let's discuss our merger announcement with the -- and with us today from Metropolitan in Memphis, Tennessee, is Curt Gabardi who is President and CEO Metropolitan and members of his team. Today it’s with great excitement and anticipation that we announce Renasant’s merger, definitive merger agreement where Metropolitan Bank Group Inc. and Metropolitan Bank will be merged into Renasant Corporation and Renasant Bank. We believe this merger will continue to solidify Renasant as one of the strongest regional banks operating in the southeast and will provide the Metropolitan team was significant other business lines including insurance, mortgage and wealth management. This strategic merger between Renasant and Metropolitan will add to our leadership team and we’ll add talented members to our Nashville and Memphis Tennessee and Jackson Mississippi teams. Now, I’ll turn the call over to Mitchell Waycaster, our President and Chief Operating Officer for few comments. Mitch?
Mitchell Waycaster: Thank you, Robin. We believe this merger will expand our market share, earnings growth and profitability and as expected to greatly benefit our current and future clients with expanded locations, services and products in the aforementioned markets. we believe metropolitan is a growing bank with a proven track record of success in serving their plots and markets especially within the commercial and private banking space, and we look forward to completing this merger. On behalf of Renasant we welcome pert and the other team members to our Renasant family and we look forward to serving metropolitan plots in the near future. And now, I’ll turn the call back over to Robin.
Robinson McGraw: Thank you, Mitch. Now with this thing our 10th merger since July of 2004, we have a proven successful track record in our previous Mississippi, Tennessee, Alabama and Georgia mergers and a consistent transition process that will help mitigate integration risk during the metropolitan merger. this acquisition accelerates Renasant’s long-term earnings growth, provides us with new experienced banking team members and quality bank branches along with the opportunity to serve Renasant’s broader array of banking and insurance products to metropolitan’s current plant base. We are excited that curt who joined our executive management team as president, chief banking officer with responsibility of merger and mortgage banking as well as other financial services. He will add considerable debt to our executive management team and his banking knowledge will be a great benefit to our company. Now I’ll introduce Curt Gabardi, president and CEO of Metropolitan for a few comments.
Curt Gabardi: Thank you, Robin. We are indeed very excited about joining with Renasant as the merger is strategically in culture when compelling for both companies. It’s a very proud and successful young company with tremendous banking talent. We look forward to the unique opportunity of leveraging metropolitan’s commercial banking niches with enhanced and limiting capacity and specialized lines of business provided by Renasant. So we are very excited for our associates, our clients and shareholders for the immediate longer term benefits and shareholder value creation opportunities. We indeed believe this merger provides. So, I’ll turn it back to you Robin for closing comments.
Robinson McGraw: Thank you, curt. We welcome your leadership and look forward to the successful partnership as well. Looking at the merger, excluding onetime transaction cost, the merger is expected to be immediately accretive to Renasant’s estimated earnings is approximately 2.9% dilutive to projected tangible book value which is earned back within three years and has an IRR which exceeds our internal thresholds. We anticipate the merger to close early in the third quarter of 2017 and is subject to metropolitan shareholder approval, regulatory approval and other conditions that is set forth in the merger agreement. Pursuant to the terms of the merger agreement, metropolitan bank will merge with and into Renasant bank immediately after the merger of metropolitan bank group with and into Renasant Corporation. Now, Austin we’ll be happy to take any questions about our 2016 fourth quarter earnings or our merger now.
Operator: [Operator instructions] our first question comes from Catherine Mealor with KBW. Please go ahead.
Catherine Mealor: Thanks, good morning congrats on the deal.
Robinson McGraw: Thank you. Good morning, Catherine.
Catherine Mealor: Thanks. I wanted to start with just a question on your slide deck. In slide 8, you talk a little bit about some of the details with crossing $10 billion, and you mentioned that there is approximately $10 million in costs associated with crossing, which includes both Durbin and higher regulatory expenses. And then you kind of list out a lot of infrastructure expenses that you have already built into the run rate. And so I guess my question is just looking at that $10 million number and how much of that $10 million is Durbin versus expenses, and then does that include some of these expenses that you have already built into your infrastructure, or is that $10 million incremental from the current run rate? Thanks.
Robinson McGraw: I’ll Let Kevin answer, Cath.
Kevin Chapman: Hey Catherine, Kevin. The $10 million, that’s the incremental increase and the majority of that 80% to 82% of that number, is going to be Durbin related. The other 15% to 20% is going to be increased FDIC insurance premiums as well as an increase in operational cost of finalizing either compliance programs, DFAST stress testing, that’s what that remaining amount would relate to is the residual cost to go over. As we detailed out on page eight, we’ve started this process in 2013, really handed back to the M&F acquisition when we went from four to six billion. That at that time was when we really started to prepare. we’ve already had several programs in place from a risk management standpoint, taking that taking what we felt was a robust compliance program and adding to that the ability to access information from not only a technological standpoint but also from a human capital standpoint, we felt those were kind of our three pillars that we needed to focus on and invest and to prepare to go over $10 billion when we looked at it back in 2013. And as we discussed in previous call, this has been an effort where we have been increasing and building in costs going over $10 billion as we went from $6 million up to this point. So that while we estimate and cost to go over $10 billion, there will be some cost, but it does not include the cost that we’ve incurred so far.
Catherine Mealor: Got it. Okay. That is helpful. And then, just a way to think about the acquisition with and without the $10 billion mark. I mean, you mentioned also in the slide deck that you expect the deal to be accretive, including both cost savings and growth from the deal, and the capital raised and this $10 million additional of costs. Can you talk a little bit about on a percentage accretion that you are thinking about with and without all these offsets, just so that we can think about what the deal looks like standalone, and then what the deal looks like in kind of Renasant real-life views?
Kevin Chapman: Sure. So, in evaluating metropolitan, we looked at it as a standalone basis, but also including the cost of going over $10 billion. now I don’t think it’s necessarily fair to allocate $8 billion worth of growth in earnings and an impact that comes to that to one acquisition, but it was absolutely part of our mindset to ensure that as we contemplated a transaction that took us to or above that we had to consider the implications of our existing operations as well as any targets operations. But going over $10 billion we’ll have a small impact on metropolitan’s income stream, but it’s a very small number and it is baked into our projections as well. And looking at EPS, including all the costs going over $10 billion, it results in low single digit EPS accretion. on a standalone basis, excluding the cost of going over $10 billion it basically doubles that number and puts us into the mid single digit eps accretion. So it has an impact, but what we felt was compelling with metropolitan is variability to grow our existing overlap which would allow us to lever talent on both sides to maintain growth rates as well on a combined basis being able to overcome the onetime cost of going over $10 billion it met all of our metrics and we feel that going over covering the cost with the ability to continue to grow profitability beyond going over $10 billion was as important as just covering the cost or simply going over $10 billion.
Catherine Mealor: Got it. That makes sense. Thank you very much.
Kevin Chapman: Thanks Cat.
Operator: Our next question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, good morning guys. How are you?
Robinson McGraw: Morning, Michael.
Michael Rose: Just a couple questions here, just going back to the deal. I appreciate all the comments you just gave. It answered a lot of my questions, but just wanted to see how this merger came about I guess from a strategic point of view. have you guys been talking for a long time, negotiated a deal directly, and then any sorts of products or special lines of business that they have that maybe can be folded into and expanded throughout the Renasant organization as we move forward?
Robinson McGraw: Yes, Michael a lot of things, we’ve had a lot of conversations over time. We think that this is kind of one of those cultural fits that everybody looks for and we felt like that this was an opportunity that we could in fact work this out along the way. To get into any of the details of conversations we’ll have to wait until we do our filings kind of for that number, maybe evade that to some degree, but let’s talk a little bit about what we did not bake into the numbers that Kevin was just talking about with Catherine. One of the things that we felt like is number one, going back to Kevin’s point, when we crossed over that $10 billion range with a merger, we needed to find a strategic partner that could in fact not only do their present income stream help us cover the cost of going over $10 billion, but they have a growth engine that can in fact continue that growth, and as you look at it, we used a conservative estimate as to what the future growth for metropolitan would be. Right now, they are looking at an 18% to 20% compound annual growth rate. we cut that back just to be safe, but also we did not take into consideration the fact that metropolitan has a great team of commercial and private bankers that will be able to utilize a lot of our products that they don’t currently have. We have a very robust wealth management team which will complement their private banking group rather significantly going forward. we had tremendous opportunities with our specialty commercial lines that they are not currently utilizing in the way of asset based lending group, our healthcare group, our SBA group, they have a good treasury management team and we think that our treasury management products will fit well into what they are already doing, but would also enhance what the metropolitan team is doing in that particular line. So as we look for the opportunities that, that we have as a combined company, we think that we can complement each other in many ways going forward and look forward to bringing on a big talented group of managing directors that curt has assembled overtime and have been with him for many years even preceding the time that I’ve been together at metropolitan, so we think this is a great opportunity.
Michael Rose: Did I Loose you?
Robinson McGraw: Yes, we lost you for a second. Did you hear us...
Michael Rose: Yes, I can. Sorry about that. Robin that is great color. That folds into my second question. You guys had at least by my math, about 23% non-purchase loan growth this year. How should we think about the addition from metropolitan as it relates to your kind of combined -- your non-purchased loan growth as we move into next year with the addition of metropolitan? I mean do you think you guys can continue to grow at a high teen’s rate organically? And, obviously, I think metropolitan would bolster that growth outlook. Is that a good way to kind of think about initial expectations for 2017?
Robinson McGraw: Yes going back to what I was saying a while ago, Michael that was one of the we got a real positive as we looked at metropolitan as that partner to cross over $10 billion with as they really looked like that they have the growth engine that puts us in a position to sustain that growth and overtime enhance what our growth already is. we feel like again going back to the comment I didn’t make in that respect is that obviously the hold limit at metropolitan is much lower than ours by basically doubling their whole limit there or opportunities that they may have with some class that they have had to work out the participations with other banks on in the past that they will be able to hold on their own now, and only expand those relationships that we already have. So yes, we basically put as we budgeted with them basically at the same run rate as we have for 2017, but we look forward to seeing an expansion of that in future years. And we really believe that they have the team that can in fact do that as we get together and combine into one Renasant team.
Michael Rose: Okay. That's helpful, robin. Maybe just one last one for me. The drop in mortgage income was a little steeper than I would have expected. Can you just kind of give some of the puts and takes there, and how we should think about 2017, just in light of the NBA'S forecast for volumes? Thanks.
Robinson McGraw: Yes, mike, let Jim gray talk about that.
Jim Gray: Yes, I got voted onto talk about mortgage. Yes definitely obviously mortgage income was down in the fourth quarter, part of its seasonality we do have a drop in mortgage income in the fourth quarter. add to that almost 100 basis point increase in mortgage rates and not just the magnitude of the rate increase but almost the immediacy of it right after the election I think kind of sterned a lot of our borrowers and kind of put everyone on hold to some extent and it resulted in a pretty dramatic drop in our block volume particularly after the election and particularly into December. And so that resulted in mark to market adjustment on our topline of a negative $5.4 million which reflected a lot – that accounted for a lot of decline in the banking income, mortgage banking income for the fourth quarter. Looking at 2017 and certainly I can address more detail on q4 if you want to, but really talking about 2017, we are very although disappointed in the fourth quarter we are very encouraged by what’s going on already in 2007. We utilize this slowdown during the fourth quarter as an opportunity to amplify our recruiting efforts which were already in effect and we were able to bring on a producing manager, not just a non-producing manager but actually producing manager in Jacksonville, Florida. He is on board and actively recruiting down in the Jacksonville, Gainesville and possibly over into the Orlando area. So we anticipated dramatically increasing our production in the northern Florida market. We also brought on a producing manager in of women. We also using manager in Destin, Florida and the ones I’m talking about now are already on board and then they are actively recruiting to bring on other production team members over the course of the first quarter and particularly weighted to the first half or the first quarter. In addition to Destin, where we brought on a producing manager and originator in mobile, Alabama, having an office there and added to our auburn production team with a producing manager into originators in auburn, Alabama. In addition to that, in Atlanta we have hired, we have a commitment from a production manager in our bucket market and should be coming home shortly and has targeted two or three to be bringing with him, also have hired a production manager in john’s creek office in Atlanta, and has two targeted to come with him. We’ve recently hired a Production Manager for Huntsville, Decatur, Alabama and targeted producers to come on with him. We recently hired Production Manager in Jackson, Mississippi and have several targeted to come along with him. So that’s kind of where we are from a retail standpoint, so that’s I think accounts round about nine or ten that we've actually brought on board during the first two weeks of January. And we are seeing our daily locks or backup into the range they were prior to the election and the increase in rates and headed back to that target range that we need to be in and this is even without the contributions of these that we’re talked about that we’ve just hired. Shifting gears just a minute to the wholesale side, we are actively recruiting some additional wholesale reps within our footprint and actually outside of our footprint in some contiguous market. So again, disappointed with the fourth quarter results, the increase in rates definitely had an impact on us, but we are seeing the fruits of our labors in the recruiting arena and starting to bring those people on board and should be seeing the results of that shortly in our daily lot numbers.
Kevin Chapman: Michael, it seems like fourth quarter is maybe a low point [ph] for the gains.
Jim Gray: Yes. I would definitely say so.
Kevin Chapman: Yes, and again, as you hear what Jim was talking about what we’re doing is we realized that with rates going up, refi has been going down, so we’re trying to replace that all with the retail type mortgage originations over the course of 2017.
Michael Rose: Great. I’ll hop out. Thanks for taking my questions.
Kevin Chapman: Thank you, Mike.
Operator: Our next question is from John Rodis with FIG Partners. Please go ahead.
John Rodis: Good morning, guys. Congrats on the deal.
Jim Gray: Thanks, John.
John Rodis: Maybe just back to mortgage for a quick second, is it a better way to look at the quarter to add back, I'm not saying it’s one time, but the $5.4 million mark-to-market adjustment, is it better to add that back as to look at a good run rate or is that not right way to look at it?
Jim Gray: I don't think you can completely add that back, because it is a reflection of the decline in the pipeline that was a result of the reduction in daily locks. By the way the way mortgage accounting is done is you take all the gains on front-end basically when the lock occurs. So as that decrease in volume kind of rose through our system during the first quarter those gains or reduction in gains have already been taking into account. So as we – if we can continue increasing locks through the first quarter, I think we'll see more positive number on the pipeline mark-to-market and then as we close and sale loans the income off for those will come in as well. So, generally speaking that is correct, but I don’t think you can totally discount the mark-to-market for the fourth quarter.
Kevin Chapman: John, this is Kevin. Just to add to what Jim mentioned, I don’t know if you can necessarily back out the mark-to-market, but I do think one thing that maybe worth considering is really if you look at third quarter, third quarter might have been abnormally high given the rate environment we found ourselves in, as well as the timing of the year. So it just amplify the impact as we got into the seasonality of mortgage coupled with almost an immediate rise in interest rates, it makes the difference more pronounced maybe.
John Rodis: Okay.
Jim Gray: If we take the whole year it kind of the third and the fourth quarter kind of balance each other out, and if you kind of took the average of the those two quarters you are more in line with what you were in the first and the second quarter.
John Rodis: Okay. That makes sense. Kevin, just a couple of questions for you. Operating expenses came down, I'm assuming that's probably partially driven by mortgage, I know last quarter you said sort of $73 million I think it was sort of good run rate, can you just talk about expenses going forward without the acquisition?
Kevin Chapman: Sure. So we did. Last quarter we guided the $73 million. If you look at our current rate or if you look at what we reported, we were in the $71 million range and that included the loss-share termination, so if we back that out our run rate really is in the $69 million range. Mortgage has an impact in that. With mortgage being down just commissions and the salaries and employee benefits tied to mortgage are down to couple of million dollars. The other piece of it really is lot of our is attributable to our efforts to focus on either driving more revenue off of our expenses or looking for ways to reduce expenses whether that is operating expenses or in head count or replacing somebody that may retire. If we just look at our salaries, our salary line item, salaries from Q4 compared to Q3 are down about a $1 million. And also tied to that and really talking about the leverage that we’re starting to see coming from the revenue side, if we look at net interest income and exclude all purchase accounting just exclude the noise of purchase accounting, net interest income for Q4 compared to Q3 was up a couple of million dollars. And so we are starting to realize what we’ve talked about not only this year but in previous years of getting to the inflection point we are able to perceive the benefit of the leverage off of our expenses, as well as realized the benefit of our initiatives that reduced overall cost. And then you are starting to see that in Q4. As we look into Q1 as mortgage normalizes I do expect expenses to come up maybe at little bit quicker pace, but also revenues will come up as well. So as far as guidance, I was still guide us towards that $72 million to $73 million run rate, but that also include an assumption of mortgage income picking up in Q1.
John Rodis: Okay. That makes sense, Kevin. As far as this back to the acquisition and low single digit EPS accretion, how much in yield accretion is built into that assumption of low single-digit accretion?
Kevin Chapman: Right now, very little. When we look at our acquisitions we based the acquisition off of really the true operating income that the acquisition can provide. We try not to -- we do not our decision off of purchase accounting accretable yield or items that may tail off over time. Now as we get into the purchase accounting and we finalize all of our assumptions closer to the date, that may change. Some of our assumptions those will absolutely changed. But we don’t anticipate any changes in those assumptions to affect our EPS accretion, negatively affect our EPS accretion or extend our earned back. If anything, it would enhance both of those numbers. But to answer your answer we do not -- when we look at M&A we do not build that M&A model off of purchase accounting.
John Rodis: Okay, so the low single digit accretion basically no yield accretion in there?
Kevin Chapman: Correct.
John Rodis: Okay And then, just staying on the yield accretion topic, I guess yield accretion for the year was around was $29.6 million. That was up from $20 million last quarter. And, obviously, you guys continue to benefit from the yearly payoff of loans or paydowns. Any sense for where that $29 million goes in 2017? I know it’s a guess, but maybe your best guess?
Kevin Chapman: Yes, so, let's break that down into two components really for 2016, it was evenly split between just normal interest rate yield adjustment and then early pay downs. So acceleration of amortization is fairly evenly split between that $29 million. It is really hard to gauge what the acceleration will be, but as we look out to next year, I would expect the normal accretion to be fairly stable as we get into the back half for this year, it might decline a little bit, but we are expecting it to be fairly stable. The accelerating accretion, again it’s hard to tell, it’s more of a facts and circumstances and what happens during the quarter. But I would think that for 2016 just based on our historical run rate that we would be in the 60% to 70% range of what we recognize this year. --- on the non --on the accelerated non-accretive, recapturing non-accretable difference
John Rodis: 2017 would be 60% to 70% of 2016?
Kevin Chapman: Of the non-accretable difference, correct.
John Rodis: Yes, the $14.7 million, okay.
Kevin Chapman: Correct.
John Rodis: Okay. And then, Kevin, just one final question. Just on the tax rate, where we are at today, the effective tax rate for the quarter was, what, about 33%. What should we use going forward? And then, if we do get a reduction in the tax rate, do you think Renasant can -- if we get a 5 percentage point reduction or a 10 percentage reduction in the federal tax rate, do you think you can realize most of that reduction? That will be it for me.
Kevin Chapman: Sure. So right now, we are not of the opinion that there is enough clarity as to where tax policy is going or what potential changes may occur in future rate, so we are still assuming current statutory rates, and believe that as we look in 2017 our current effective tax rate is a good run rate, that 33%, that 33.5% run rate. To your question if we do see a change in tax policy or the statutory tax rates. We have looked at that and so it’s give-and-take between deferred tax assets. If we do see a reduction we will have impairment on our deferred tax assets. That is roughly for every five percentage point movement in the tax rate. That creates about a $6 million impact to our deferred tax assets. But we would recoup all of that in the first year as a result of the lower effective tax rate. So based on our projections any impact to the deferred tax asset would be mitigated in the first year of receiving that benefit.
John Rodis: Okay. Make sense. Thanks, Kevin.
Operator: Our next question is from Andy Stapp with Hilliard Lyons. Please go ahead.
Andy Stapp: Good morning.
Robinson McGraw: Good morning, Andy.
Andy Stapp: Quick question on Metropolitan, actually couple of them. The CDI, will it be amortized straight line or accelerated?
Kevin Chapman: Andy, this is Kevin. Right now we’re assuming straight line as we get into an actual calculation and look at the results that may change but right now for our assumptions we are assuming 10 year straight line.
Andy Stapp: Okay. And any thoughts when the conversion might occur?
Kevin Chapman: We are assuming the third quarter.
Andy Stapp: Okay. And then the cost saves at 37.5% is higher than what we typically see. Can you just talk about the drivers that gives you confidence that you can achieve these expense reductions?
Kevin Chapman: Sure. Andy, I'll start it off and I'll let Mitch and Robin to provide any additional color. It's probably little bit higher than typically what we would model. We typically model more in the 25% range. But what causing a little bit of an increase here really is primarily the overlapping markets and where that cost saves has been generated is occupancy expense, occupancy and equipment. So I think four of their locations are within a mile on one of our existing branches or one of our locations is within a mile, four of our locations are within a mile with their location. And so that just the redundant occupancy expense and the elimination of that would cause an elevated assumption as oppose to previous acquisitions. Robin and Mitch any comments on that?
Robinson McGraw: No, I think the big differential there as oppose to looking at it from a people standpoint that run is probably pretty consistent, but the fact that we overlap in all three markets projection MSA, the Memphis MSA, and the national MSA, there are opportunities for consolidation of fiscal facilities that we normally would not see in a situation like this.
Andy Stapp: Okay. [Indiscernible]. Yes, go ahead.
Mitchell Waycaster: This is Mitch. I'll just add to that nothing really to add to the cost saves, but as we always do we will begin to plan carefully and integration where we focus on the tremendous talent that's coming over joining ours and to minimize any customer impact, make sure this is a seamless transition.
Andy Stapp: Okay. All right, great. And just another question on mortgage banking, the Q4 mortgage banking, can you give us a breakout of some of the components such as gain on sale, servicing income, et cetera?
A: Sure. The servicing income for the quarter was right at a $1 million, of course most of the amortization was pretty close to that, so net of about 100,000 in net servicing income after amortization. I kind of gave you the breakout on the pipeline adjustment. The overall total mark-to-market was a negative $4.3 million; negative 5.4 there was related to the pipeline. Mortgage income which includes mortgage admin fees and origination was $6.5 million. And then total gain on sale which includes the MSR would be $6.3 million.
Jim Gray: Sure. The servicing income for the quarter was right at a $1 million, of course most of the amortization was pretty close to that, so net of about 100,000 in net servicing income after amortization. I kind of gave you the breakout on the pipeline adjustment. The overall total mark-to-market was a negative $4.3 million; negative 5.4 there was related to the pipeline. Mortgage income which includes mortgage admin fees and origination was $6.5 million. And then total gain on sale which includes the MSR would be $6.3 million.
Andy Stapp: Okay, great. I’ll hop back into the queue. Thank you.
Mitchell Waycaster: Andy, one thing I’ll mention just on the mortgage servicing rights as a reminder, we account for our mortgage servicing rights as the lower cost to market. And so any market, any change in value are related to mortgage servicing rights. It’s really not reflective in our revenue, our expenses; only to the extent we have impairment. So the numbers Jim gave really are the servicing income less to cost of service, it does not include any adjustments for valuation.
Andy Stapp: Okay. Okay. All right. Thanks.
Operator: And our next question comes from Matt Olney with Stephens. Please go ahead.
Matt Olney: Hey, thanks. Good morning, guys.
Kevin Chapman: Good morning, Matt.
Matt Olney: I want to go back to the net interest margin, and we’ve seen a steeping of the yield curve over the last few months. Can you speak to if there was any impact of the steeping yield curve in the Q4 results and any change in the outlook for the margin, given the steep yield curve? Thanks.
Kevin Chapman: Hey, Matt, this is Kevin. So yes couple things with margin and I guess what I would say is where we started that quarter and where we end the quarter not only from the shape of the curve but maybe even mindset is different. So as far as positive benefit to the margin as a result of the yield curve, there are some but I’m not sure it's very pronounced. I will say we did see some positive signs that we see in our margin is we did see margin coming in relatively flat -- core margin, margin excluding all the purchase account and coming in relatively flat if not up a basis point or to a couple things that draw that. In Q4 we had a full quarter impact of the sub debt compared to half a quarter. So that put pressure on the margin, but even though we had that pressure in our headwind our margin was still flat to up. We are seeing new and renewed loan pricing. We’re seeing an uptick in new and renewed loan pricing, that’s having a positive impact on margin side. So I would say as far as outlook I believe we might be at a point where with the shape of the yield curve, with the efforts of our lenders, our regional presidents to focus not only on the growth but also the yields and managing interest-rate risk that we are – we’re starting to see signs that we may have plateaued on margin compression with the opportunity in the future to start seeing modest increases in margin expansion if we continue to carry on what we saw from November 9 through the end of the quarter.
Matt Olney: Okay. That's helpful, and Kevin if I think about that commentary and your commentary on expenses, if I roll that into the efficiency ratio could you talk more about it in that context as related to your goal of getting that below 60%? And then of course once you layer on Metropolitan what the impact of that would be?
Kevin Chapman: Just layering on a Metropolitan will not -- will assist, they will not hinder us from our goal of going below 60. They run at an efficiency ratio about 70% combined cost saves would bring just that number, I’m not saying all the call saves are going to come on their side, but they brings their number well below 60%, so they will assist in that effort. But to your point about the leverage, just the expense, the revenue leverage that we have on our expenses that maybe wasn't as pronounced or evident in 2016 because throughout 2016 we saw the shape of the yield cure, with the yield curve being flat, we saw margin compression every quarter. And as we had double-digit loan growth the impact in net interest income wasn't as pronounced as it would've been if we would have been fighting the margin compression. So if we enter an environment with a steeper yield curve and maintain that growth than the compounding effect on net interest income, I think it will be more than evident to see which will absolutely have a positive impact on our efficiency ratio.
Matt Olney: Okay. All right. That’s very helpful. Thanks to answer my questions and congrats on the deal.
Kevin Chapman: Thanks, Matt.
Operator: [Operator Instructions] Our next question is a follow-up from Andy Stapp with Hilliard Lyons. Please go ahead.
Andy Stapp: I accidentally cut myself off. So if I am redundant, just let me know. I can look at the transcript. But just wanted some color on the linked quarter increase in the core margin?
Kevin Chapman: Yes Andy, this is Kevin. So with just not only just asset question, let me give you a couple of comment on it. and I’ll try not to speak to redundant, but we did see – we are all starting to see positive signs in our margins, really attributable to a couple of things. One, a continued focus and effort on behalf of just throughout the company to really focus on the yields, fees and revenue generation of the loan growth. And then as we got into or as we ended Q4 just the shape of the yield curve is starting to help provide some benefit with that initiative. Those two items really are what are helping, what you see when it comes to the core margin of it flat lining and starting to see signs of it increasing.
Andy Stapp: Okay. And so that -- if it is -- 3.81% is a good starting point. I think that if my memory is correct, that is what your core Q4 margin was. That is a good starting point to build off of?
Kevin Chapman: Yes.
Andy Stapp: Okay. And what do you expect the impact of the loss share termination to be on the identification asset amortization?
Kevin Chapman: Andy, let me go back to that core margin. That core margin will be more of a 370.
Andy Stapp: 3.70%. Okay. I thought it may be...
Kevin Chapman: So the impact of loss share, we incurred a $2 million charge to terminate. part of our rationale to do that was we felt that as we projected out recovery that it will be more beneficial to us to terminate and receive full benefit of those recoveries and then also not have the compliance cost, the rigor of the exam to maintain the loss share coverage on really what was now down to the single family portfolio to begin with commercial loss share that had already expired. So we just felt it was the right time as we looked at our recoveries and looking at the cost benefit that the $2 million charge, we felt that we would recover that in a 12 month to 18 month period. I can tell you with experience that we’ve had since termination we are going to be on the 12-month side of that range if not within 12 months.
Andy Stapp: Okay, all right. That gives me what I need now. Thanks.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Robin McGraw for any closing remarks.
Robinson McGraw: Thank you, Austin. I want to thank everybody for joining us today. Once again we are looking forward to visiting with you again in our first quarter 2017 conference call. Thanks every one.
Operator: The conference is now concluded. Thank you for attending today's presentation, you may now disconnect.